Operator: Good day, and welcome to the First Quarter 2019 Report International Conference. Today’s conference is being recorded. At this time, I would like to turn the conference over to Glenn Flanders. Please go ahead.
Glenn Flanders: Great. Thank you very much. Hello, everyone, and thank you for attending the presentation of our Q1 2019 results. I’m referencing our presentation and turning to Page 3, Highlights. Our operational EBIT was EUR 196 million, which reflects one of the best first quarters in our history. We enjoyed high-achieved prices in all markets on strong demand. And our cost per kilo harvested decreased compared with the prior quarter, Q4 2018. We saw seasonally record high volumes at 104,000 metric ton, which was an all-time high for Q1. We also enjoyed all-time high earnings in Chile on the back of higher volumes and good biology. We closed a new loan, EUR 120 million at EURIBOR plus 170 points. And our board resolved on a quarterly dividend of NOK 2.60 per share to be paid in Q2, 2019. Page 4, our key financials. You’ll note 14% increase in our operational revenue at EUR 979 million and an operational EBIT increase of 24% to EUR 196 million, largely driven by higher volume and slightly higher prices. The volume increase was 28% from EUR 81 million – excuse me 81,000 to 104,000 metric ton year-over-year. Our underlying earnings per share was EUR 0.28 per share. Page 5, salmon prices. In the quarter, prices started low, but strengthened throughout the quarter, with a result in market currency change of 1.4% in Norway in euro, 2% in Chile for U.S. dollar. And we had a decline on the West Coast, Urner Barry about 4% U.S. dollar. Page 6, our price achievement, contract and superior share. Our combined price achievement was 1% below the reference. This compares to 2% below the reference in Q1 2018. In Norway, early harvest brought down price achievement and also we had a slightly lower superior share. In Scotland, we had very good price achievement, but less so, as you’ll note, than Q1 2018 due to less contract share in relative terms, driven by higher volumes. In Canada, we have no contract share and this is typical. And a lower superior share typical of this time a year, with larger fish coming to market. Page 7. Our operational EBIT comparison. You’ll note in the waterfall analysis two key drivers of change. We enjoyed a positive contribution from farming, largely driven by higher volumes and slightly higher prices, and that was offset to some degree by a negative contribution from consumer products, driven in large part by fierce competition in the marketplace and also the timing of Easter, which was in first quarter of 2018 and second quarter of 2019. Moving on to Page 8. Looking at Norway, we had good overall results, in particular in the farming segment. We had increased volumes of approximately 5,000 metric ton mainly from Region North, and we saw improved biology and results in Region South. Costs were slightly higher than in Q1 2018 due to higher feed costs and early harvest in Region Mid. The early harvest was driven by PD incidents, which also brought down average weights and skewed our size distribution for market. On Page 9, our sales contract portfolio in Norway, I think, is best described as stable at about 21,000 metric ton and at good prices. Page 10 is our operational EBIT per kilo per region. I will not spend much time on this now. In our quarterly report, we go into some detail with regard to each of the regions, and I think the more notable points were previously mentioned in the two slides prior. Moving on to Page 11. Scotland, we also saw very good results. We had increased volumes of nearly 80% and good growth. We enjoyed reduced costs and positive contribution from contract sales. Generally, we had improved biology on greater opening biomass, improved survivability and favorable seawater temperatures. Page 12, Canada. Canada includes both East and West Coast in Q1 2019; only West Coast in Q1 2018, the change being the acquisition of Northern Harvest in July of 2018. We saw improved results on higher achieved prices and higher harvest volumes. The volumes were largely provided by the Northern Harvest acquisition. We enjoyed stable costs year-over-year, and production was good in Canada West due to more biomass and favorable conditions. We also delivered a new wellboat, which is a state-of-the-art vessel, which should improve fish health treatment capacity and fish transport capacity generally. Page 13. With regard to Chile, it was a very good quarter. As I said in the highlights, best results ever in the first quarter. We had a record high operational result driven by increased volumes, stable costs and slightly improved prices. The improved biology resulted in reduced antibiotic use per ton produced and you’ll note in our quarterly report that in Q1 2018 we used approximately 390 grams of antibiotics per metric ton, and in Q1 of 2019 that was reduced to 263, a very encouraging trend. Page 14, Ireland and the Faroes Islands. Generally small regions for our business, but very notable performers. We had good results in Ireland, which is an organic salmon-producing business and the market remains strong for those products. Costs are expected to increase moving through this particular quarter, two, in 2019, due to the fact we will be harvesting from higher cost sites. In the Faroes, relatively stable operation with stable costs. We only harvested in the first part of Q1 and that lower prices, but slightly higher year-over-year. Operating revenues and operating earnings before interest and taxes excludes the sales tax to align with industry accounting policies. In other words, there was a revenue tax, which was previously recorded in our op EBIT and we moved it down below that line. Moving on, Page 15, our Consumer Products. Seasonally all-time-high sold volumes. Volume increased in the Fresh while it declined in the Chilled. This, in part, had to do with what I’ve already mentioned, which is the phasing of Easter, which occurred in Q1 2018 and Q2 in 2019. We continue to see strong demand and favorable trend of increased sales of value-added products, including in the U.S. As noted, we’re seeing fierce competition in Europe, which has impacted earnings and particularly in the Chilled segment. It’s a very competitive marketplace, creating a lot of margin pressure for these products. MOWI brand launch in Poland. This is on Page 16. And as we announced in our Capital Markets Day in November, we have developed a global corporate brand for our business and we launched in earnest in Q1 2019. The MOWI Pure range was launched in Poland. The first launch was in some of the world’s largest retail chains. And MOWI Pure is our finest high quality salmon and comes in different cuts and sizes. MOWI salmon has 20% more Omega-3 due to our unique feed capability, and we guarantee a certain color and selection process in providing those products. This is the beginning of a much broader product launch, which will continue in other markets throughout 2019. In connection with this effort, on Page 17, you’ll note we’ve also launched a traceability tool with a QR code that will provide background information on our product. And some of that background information is listed as recipes, birthplace, lifespan, feed diet, harvest date and where it was processed. We also launched in Q1 2019 a new web page, mowi.com, which also links our brand and redevelops our image around these products. Moving to Page 19, Feed. It is a – Q1 is a low season for feed. With that said, our volumes sold reached a seasonal all-time high level. We were 94% self-sufficient with regard to our feed requirements in Norway in Q1 2019, and this compares to 90% in Q1 2018. We were burdened with increased prices. We benchmark against the market, and this had – was offset by increased raw material prices largely to do with fish oil. Our new plant in Scotland, we began trial production this month, of May. And this facility will afford us some flexibility in terms of the types of feed we produce and also allow us some design latitude to customize certain feed for certain applications. Similar to consumer products, there’s strong competition in the feed market and we expect this will continue to put pressure on margins going forward. Moving to the Financials, Markets and Harvest Volumes, Page 21 of our presentation. The statement of profit and loss, I think we’ve addressed some of these points in the early part of this presentation. But in the reconciliation of Op EBIT to EBIT, there’s two notable points that I would draw your attention toward. The net fair value adjustment of biomass was EUR 41 million, which is reflective of the higher forward prices on our inventory. The second point is associated companies. You’ll note a 6,100 ton from Nova Sea, from which we enjoy a percentage of that, and that is included in income from associated companies. Underlying EPS of EUR 0.28, we mentioned that. And moving on to financial position on Page 22. You’ll note some significant change with regard to our balance sheet, which is up about EUR 1.1 billion. These increases have to do with new accounting promulgations, IFRS 16, which requires that we acknowledge our right-of-use assets, and there’s lots of details around that accounting provision in the footnotes. Suffice it to say, it’s increased our balance sheet by EUR 357 million. In addition, we have increased biomass in sea relative to Q1 2018 and with the mark-to-market adjustment, the total was about EUR 300 million in additional assets. Net CapEx in 2018 and purchase of new licenses in Norway has resulted in the addition of new equipment, new biomass and new operations, and also the acquisition of Northern Harvest, which was previously noted to occur in July of 2018 and, therefore, reflected in Q1 2019. It was approximately EUR 215 million. Moving to cash flow and net interest bearing debt, Page 23. Our net interest bearing debt target of EUR 1.4 billion is unchanged, and as many of you will know, our first quarter is the period of time in which we release working capital built up through the fall and you’ll note that change in working capital at EUR 51 million. This was largely offset by another seasonal occurrence, which is taxes paid of EUR 53.1 million. Nonetheless, we had a very positive cash flow from operations at EUR 236.5 million. With regard to other investments and dividends received, we received dividends from Nova Sea, as previously mentioned, and offsetting to that was also an investment in DESS, which is the shipping company which we are 50% owner. And I think the last point to be made here for the time being is with regard to the dividend, EUR 137.9 million, which reflects a NOK 2.6 per share result by the board in Q4 of 2018. Moving to Page 24, the 2019 cash flow guidance. This is unchanged. I won’t spend much time on it now as it was covered in our previous presentation, with regard to Q4 2018. Page 25, overview of financing. Unchanged, but for one new loan, which is a senior unsecured 7-year note, with EURIBOR plus 1.7 basis points. It’s very attractive with a long tenor, in our view, and as I previously mentioned, the net interest bearing debt target is unchanged. Moving to market dynamics on Page 26. We saw a supply development that was of no surprise, largely in keeping with our expectations and resulting in a 4.8% increase Q1 2018 to Q1 2019. No surprises and, therefore, moving on to Page 28. Global volume by market, which reflects consumption for our products, strong demand globally, Europe increased consumption at higher prices. In the Americas, we had favorable U.S. and Brazil developments and perhaps these developments, particularly in Brazil, were a cause for some of the displacement of consumption in Russia. That’s an anecdotal comment, but there seems to be some correlation given that much of the product that ships to Russia comes from Chile and we’re seeing growth in Brazil, which would come from – naturally come from Chile for the most part and the decline in consumption in Russia. In Asia, the availability of large fish coming from Canada and other places was good, and we saw consumption growth in places such as China and Japan. Moving to Page 29. This is industry supply growth. Very stable. The 2019 guidance is a global growth of 4% to 7%. We’re looking at estimates for Q2 of between 3% and 8%, and similarly, for the second half of the year, 3% to 8%. This is very much in line with what we’ve seen in the last couple years and of no surprise to us. With regard to our own volume guidance, Page 30, we are unchanged, but for some small net neutral changes within our various regions. We’re still guiding to produce 430,000 metric ton for 2019. Notwithstanding a decrease in Ireland by about 2,000 ton, we will see about a 2,000-ton increase in Scotland. So moving to Page 31, our outlook. The sector fundamentals remain strong. Fish Pool forward prices 12 months are EUR 6.1 per kilo. We’re seeing organic growth throughout our value chain. The new feed plant in Scotland, which has been mentioned, East Coast Canada farming, particularly the assets we have acquired from Gray Aqua in 2017 and building out essentially new business there and synthesizing that with Northern Harvest acquisition in 2018. And then a variety of different processing-related initiatives, including moving into a much larger plant in Miami. As noted, we’re seeing fierce competition in Consumer Products and Feed, and we expect that impact, which we experienced in Q1 2019, to continue into Q2 2019. We launched the MOWI products, will continue to add additional markets throughout the year. And as mentioned, the quarterly dividend payment is NOK 2.60 per share as an ordinary dividend. So I think that’s the quick walkthrough of the Q1 2019 presentation, and I will open it up to Q&A at this time.
Operator:
Operator: It appears there are no further – there are no questions at this time, Mr. Flanders. I’d like to turn the conference back to you.
Glenn Flanders: Okay. Well, thank you all for attending, and thank you very much for your interest in MOWI. And hope to see you out on the roadshow in the near future. Thank you very much.
Operator: This concludes today’s call. Thank you for your participation. You may now disconnect.